Operator: Thank you for standing by. This is the conference operator. Welcome to the Uranium Resources Inc. Second Quarter 2017 Financial Results and Business Update Conference Call. As a reminder, all participants are in listen-only-mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Christopher Jones, President and Chief Executive Officer. Please go ahead.
Christopher Jones: Thank you, and welcome everyone to Uranium Resources' second quarter 2017 financial results and business update conference call. I am Chris Jones, Chief Executive Officer for Uranium Resources. You'll find our company listed as URRE on the NASDAQ and as URI on the ASX. This call is being webcast on our website at www.uraniumresources.com where we will have posted slides to accompany our remarks. Telephonic replay of the call will be available for one week following today's call; of course, it will also be posted to our website for later listening. We will be discussing some forward-looking information today and we caution our audience that such statements involve risks and uncertainties that could cause actual results to differ materially from projections. Please review our cautionary statement and notes about foreign reserves and resources on Slides 2 through 4. In addition, there are risk factors including some that are specific to our industry, described in our latest annual and quarterly financial reports filed with the U.S. SEC and the ASX. We have a brief presentation before the question-and-answer portion of today's call. I am joined in our Colorado headquarters by Jeff Vigil, Chief Financial Officer and Vice President of Finance; and Dain McCoig, Vice President of Operations joins us by phone from our offices in Texas. Let's turn to Slide 5. During this past quarter, we continued to improve URI’s value proposition by providing exposure to a robust lithium sector through our acquisition of now three highly prospective lithium brine projects, two in Nevada and one in Utah. Our new property is in the Railroad Valley west of Ely, Nevada and represents another opportunity for our company to explore for and develop a lithium business. Also, as previously announced, we have started exploration drilling at our Columbus Basin project also in Nevada with results expected in the fourth quarter of this year. In our continuous quest to reduce costs, we were also able to amend our agreement with Juan Tafoya Land Corporation. This amendment reduced our land payments by almost half, reduced the production royalty rate, and assured the Juan Tafoya Land Corporation revenues beyond the current year. We are especially proud that we have received partial bond releases in the amount of $318,000 on our Rosita Project in Texas. This means that the State of Texas has recognized and approved our reclamation progress on this property. We are proud of our team in Texas and their hard work in getting this done. The completion of this phase of reclamation work also serves to demonstrate our commitment to the communities where we work, something we keep as a core value here at URI. We are also pleased that at our Annual General Meeting on July 18th, all items proposed were approved including the election of Tracy Pagliara to replace retiring Director, Tracy Stevenson. Mr. Stevenson’s service was valuable to URI over the last three years and we thank him for it. Also on July 31, we were able to terminate our shareholders agreement with Resource Capital Funds. This eliminates certain participation rights and Board rights on the parts of RCF and streamlines our decision-making and business functions. Despite expanding and diversifying the business, we continued to reduce general administrative expenses by $400,000 year-on-year for the quarter. We continue to be opportunistic in evaluating business prospects for value-creation and for optimization of our portfolio of assets. This includes further monetization of non-core assets where it creates value for URI shareholders. In the mean time, we have budgeted $1.6 million for a lithium exploration and drilling program in 2017. Stay tuned for continued news flow from our exploration work as we drive towards the delivery of a national JORC-compliant lithium resource on one lithium project in the first half of 2018. This objective may be subject to additional financing. Today, our company is standing on two legs of the energy metals business, lithium and uranium. With attractive projects in the U.S. and Turkey, we are in a great position to capitalize on the green energy future. Now, I will turn the presentation over to Jeff to review our capital structure and financial summary. Jeff?
Jeff Vigil: Thanks, Chris. Good day to everyone. First, let’s take a look at our capital structure on Slide 6. At the recent share price of $1.40 and with approximately 25 million shares outstanding, our market capitalization stands at $35 million. During the second quarter, our stock performance remained steady. The URRE stock is up slightly for the year, and the average daily trading liquidity for the trailing three months is an average volume of approximately 500,000 shares per day. Turning to the financial summary on Slide 7; we want to highlight the improved financial strength of URI. Our cash position as of July 31 was approximately $6.6 million; and most importantly, we have no long-term debt. Our working capital of $8.4 million at June 30, and our current cash is expected to fund our business activities into the first quarter of 2018. As noted in the last quarter’s conference call, we retired the original $8 million convertible loan with Resource Capital Funds or RCF with a final cash payment of $5.5 million on February 9, 2017. Coincidentally, as Chris mentioned, in July, we terminated the shareholders agreement with RCF which provided RCF with equity participation rights and Board representation rights. The retirement of the loans saves us $800,000 per year in interest payments to RCF. Most importantly, that $800,000 is half of our budgeted lithium exploration and drilling program for 2017 and it is now going into the ground. Net cash used in operations was approximately $3 million in Q2 2017, nearly the same amount of cash that was used in the second quarter of 2016. During the second quarter, we continued to pare down our line item G&A expenses. As a result of this work, our G&A expenses for the second quarter were 20% lower than the equivalent quarter in 2016. Expenditures for mineral property expenses were higher by 36% or approximately $400,000. This was due to claims taking costs for the Railroad Valley lithium brine property that Chris mentioned and in an addition payment of the annual lease rental for our Juan Tafoya uranium property in New Mexico. This lease payment had been deferred from the fourth quarter of 2016 due to the negotiations with the Juan Tafoya Land Corporation to extend the lease. Finally, our net loss for the quarter was approximately $2.6 millionversus a loss of $4.6 million in the second quarter of 2016. The $2 million decrease was primarily due to a decrease in interest expense and impairment charges compared to the 2016, an additional gain recorded on the sale of the Churchrock and Crownpoint projects. This additional gain was recorded as a result of the approval by Laramide shareholders in April 2017 of the terms of the warrants issued to URI by Laramide at the transaction closing in January 2017. With that, I will turn it back to you Chris.
Christopher Jones: Thanks, Jeff. Turning to Slide 8, recent news on the lithium markets indicates increasing demand, government support for electrically-powered vehicles has been widespread from the Chinese mandate for 7 million electric vehicles on the road to the UK’s announcement that they intend to ban the sales of hydrocarbon-fueled vehicles in 2040 provide a market tailwind for lithium demand in the form of batteries. This demand is expected to drive high prices, which keeps URI focused on exploring and developing its properties. The growth in demand for transportation batteries provides a backdrop for further demand growth in batteries that enable solar and wind power. As these sources of energy development become more widespread, the enabling technology becomes energy storage, which reduces the intermittent nature of these forms of power generation. This energy storage application for lithium batteries provides an additional catalyst for growth in these lithium markets. Again, watch us for news on exploration and development of this business. Our strategy is to capitalize on our existing base of expertise, developing low-cost lithium brine deposits. The mining and processing cost of lithium from brines are in the lowest cash cost quartile. Let’s take a closer look at our lithium projects. Slide 9 shows our Columbus Basin project, which is located 27 miles from Albemarle Corporation’s Clayton Valley/Silver Peak operations, the only lithium brine producer in the United States. The project is also 137 miles southeast of Tesla’s Gigafactory. Exploration drilling has started on the Columbus Basin. This program is designed to test brines within 2000 feet at the surface. We have previously identified geophysical studies and planned for results in the fourth quarter. Slide 10 shows the Sal Rica Project, which is located in lithium and rich brines in the Pilot Valley of Northwestern Utah. Geophysical studies are underway and a grid sampling program is planned for later this year. On Slide 11, we have our newest property, Railroad Valley. It’s located 75 miles west of Ely, Nevada and is previously been explored for oil and gas with some production still in place. We are collecting data for further study at this time and we’ll evaluate its potential and schedule further work as indicated. Stay tuned for news on the Railroad Valley. On Slide 12, we present our value proposition. We continue to expand our potential for developing green energy metals in lithium and uranium. We have increased our property position over the past quarter and began exploration on our first project. We continue to be opportunistic in merger, acquisition, and non-core property sale opportunities as they add value for our shareholders. In the mean time, we retain our leverage to the rising uranium market through our low-cost Temrezli Project, our licensed processing plants in Texas, and our extensive uranium mineral base. Our company is debt free and our business plans including a $1.6 million lithium exploration and drilling program are funded into the first quarter of 2018. You can expect continued news flow on our exploration progress and other business updates throughout 2017. We are off to a great start in 2017. With an improved balance sheet, cash in our treasury, and a new energy metals strategy, this terrific team is well resourced to achieve great things this year. Thanks for your time and attention today. Let’s take some questions.
Operator:
Christopher Jones: Thank you. Ladies and gentlemen, URI’s management team thanks you for allowing us to provide this update on our business. Have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.